Operator: Thank you for standing by, and welcome to the Telkom's Full Year of 2015 Results Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, the 8th of March 2016. I would now like to hand the conference over to your first speaker today, Mr. Andi Setiawan. Please go ahead.
Andi Setiawan: Thank you. Ladies and gentlemen, welcome to PT Telkom Indonesia full year results ended December 31, 2015 conference call. We released our results on 3rd of March 2016, and the reports are available in our website, www.telkom.co.id. Today's presentation is available on the webcast, and an audio recording will be provided after the call for the next 7 days. There will be an overview from our CEO. And after that, all participants are given the opportunity to participate in the Q&A session. Before we start, let me remind you that this call and the responses to the questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projections, estimations or expectations voiced during today's call. This may involve risks and uncertainty and may cause actual results to differ substantially from what we discussed in today's call. Telkom Indonesia does not guarantee to any actions which may have been taken in reliance of the discussion held today. Ladies and gentlemen, it's my pleasure to introduce you to Telkom's Board of Directors who are joining us today: Mr. Alex J. Sinaga as President, Director and Chief Executive Officer; Mr. Heri Sunaryadi as Director of Finance and Chief Financial Officer; Mr. Abdus Somad Arief as Director of IT Network and Solution and Chief Technology Officer; Mr. Honesti Basyir as Director of Wholesale and International Services; Mr. Dian Rachmawan as Director of Consumer Services; Mr. Indra Utoyo as Director of Information and Strategic Portfolio; Mr. Muhammad Awaluddin as Director of Enterprise Business Services; and Mr. Herdy Rosadi Harman as Director of Human Capital Management. Also present are the Board of Directors of Telkomsel: Mr. Ririek Adriansyah as President, Director; and Mr. Heri Supriadi as Director of Finance. Before Alex delivers his remarks, I will take this opportunity to give a brief overview of Telkom Indonesia. Telkom is the single largest integrated telecommunications company and network provider in Indonesia. Telkom provides a strong business portfolio of TIMES: Telecommunication, Information, Media & Edutainment, directly or through its subsidiaries. We also deliver services to multi-customer portfolio in retail, enterprise, wholesale and international. As of December 31, the majority shareholders of Telkom was the Government of Indonesia with 52.6% ownership and the remaining 47.4% was under public ownership. I now hand over the call to our CEO, Mr. Alex J. Sinaga, for his overview. Alex, the time is yours.
Alex Sinaga: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for full year 2015 results ended December 31, 2015. We sincerely appreciate your participation in this call. Ladies and gentlemen, at the end of 2015, we recorded a milestone by achieving our targets break-to-break [ph], 100 less 300, means IDR 100 trillion in revenue and IDR 300 trillion in market capitalization. In terms of revenue, we maintained strong momentum by growing 14.2% year-on-year to 102 point [Technical Difficulty] and net income margin at 3.2% and 15.01% respectively. Those achievements were driven by our strong operational results, with 12.1 million net additional customer of Telkomsel during 2015 drove total amount [Technical Difficulty] Mobile data payload down significantly to 492.2 petabytes or increased by 110%, mainly supported by the fast-growing 3G and 4G devices adoption, which increased 53% to 61.7 million users, representing around 40% of our customer base. Mobile broadband business performance was supported by our network infrastructure expansion, with almost 18,000 new BTS installed during the year to maintain our network superior performance. While our fixed broadband usage increased by 17% year-on-year to 4 million customers as we launched IndiHome Triple Play in the beginning of 2015. This also resulted in higher fixed-line phone subscribers from 9.7 million customers in 2014 to 10.6 million in 2015. Ladies and gentlemen, in consolidated level, our data Internet and IT service segment experienced the strongest growth, which increased 58% to IDR 32.7 trillion supported by the growth of our mobile digital business, which down by 43% year-on-year. However, our accelerated infrastructure development has some impact on our operating expenses, which increased 15.8% to IDR 51 trillion. Our major operating expenses was operation and maintenance, which grew by 26% to IDR 28 trillion, in line with aggressive cellular and fixed-line network deployment [indiscernible] [Technical Difficulty] businesses. Depreciation and amortization contributed to 27% of total expenses in accordance to our network infrastructure development and modernization and partly due to [Technical Difficulty]
Operator: Ladies and gentlemen, please stand by for we're experiencing a momentary interruption in today's conference. Thank you for your patience and please continue to hold.
Unknown Executive: Okay. [Technical Difficulty]
Alex Sinaga: Okay, I will continue. Okay, ladies and gentlemen, our Selular subsidiary Telkomsel delivered remarkable results both financial and operational. For the fourth consecutive year, Telkomsel achieved triple double-digit growth in revenue, EBITDA and net income, which grew by 14.8%, 14.4% and 15.4% year-on-year, respectively; revenue growth to IDR 76.1 trillion, with the growth engine coming from digital business that increased by 43% driven by data, which increased by 44%, and digital services which increased by 39%. Digital business accounted for 29.5% of total revenues, considerably increased from 23.6% in the previous year. As opposed to the industry trend, Telkomsel still recorded healthy growth in legacy business with -- voice grew 10% and SMS increased 5% year-on-year. It is attributable to the successful smart pricing execution of cluster grades pricing and market segmentation. On the profitability side, Telkomsel EBITDA and net income margin remained superior at 56% and 29.4%, respectively. Telkomsel continues strong operational results with total BTSs on hand has exceeded 100,000. And during the year, we deployed around 18,000 new BTSs, of which almost 90% were 3G and 4G BTSs in an effort to maintain leading network supply and growing our digital businesses. As end of 2015, our BTS on air reached 100,003 -- 103,289 units, and 53% of which were 3G and 4G BTSs. As a result, data traffic suddenly increased by 110%. On 4G LTE, as the first operator who commercially launched LTE in Indonesia, we continue to increase our footprint, and this service is now available in 14 cities. Another milestone that we made is on fixed broadband businesses. And at the end of 2015, IndiHome Triple Play has reached 1.1 million subscribers. This is a remarkable achievement as IndiHome was initiated only at the beginning of the year. Demand for high-speed Internet service at home is huge as middle-class segment is growing fast, and they have the need to get linked to high-quality Internet. Therefore, we are continuously building up our human resources both in terms of capabilities and numbers to capture the potential demand. At the end of 2015, we already have 4,800 fiber technicians under our subsidiary, TELKOM Access, especially for IndiHome installation. And we will continue to strengthen our operational capabilities to accelerate our fixed broadband expansion. Ladies and gentlemen, let me now say the progress of Indonesia Digital Network for the full year 2015. On the id-Access until the end of December 2015, we already have 10 million fiber-based homes passed. We also have installed more than 320,000 WiFi access points, partly to help offload mobile traffic in an effort to maintain quality service of our mobile broadband, particularly in the cloud areas. On the transport side, we call it as the id-Ring. In total, we currently have almost 82,000 kilometers of nationwide fiber-based backbone network, connecting major isles, from the west to the very east of Indonesia, which include Maluku and Papua. While for the id-Convergence, the Telkom Group has a total of 74,000 square meters of data center, that is operationally run by our subsidiary, telkomsigma. And we also have 1 project under construction, around 220,000 square meters of data center in Jurong, Singapore. Ladies and gentlemen, we keep exploring opportunity outside Indonesia as a means to push ourselves to have a global standard in doing business to sharpen our competitiveness. We select and review potential businesses in the region and focus on businesses that create synergy to our current business portfolio in telecommunications, IT, media and content in education and entertainment. We are in progress to develop Indonesia's global network project connecting Europe to Indonesia through -- we call it as a SEA - ME - WE5 submarine cable system. And until December 2015, we have completed part of cable ending station in North Sumatra. This cable network is expected to be completed by fourth quarter 2016. Meanwhile for Southeast Asia, United States, global backbone network connecting Indonesia to United States expected to be completed by first quarter 2017. We have a pending project with this acquisition of Guam Telkom that is still under review by the United States authority. We expect that we can get notification regarding this in due time. Ladies and gentlemen, our excellent performance admitted by various independent third parties as we received many awards related to our operational and service excellence. We see that this was appreciated for Telkom Group and so inspire and motivate all of us to work harder in Sumatra. From time to time, we are improving how we organize our businesses with 1 objective, to serve our customer better in effective and efficient manner. And starting by 2016, we transformed our organization into 5 customer-facing units. We call it as a CFU, which make all elements in Telkom Group more organized to serve all our customers in the area of mobile business, digital service, consumer, enterprise and wholesale and international in a synergic way. With this model, we prefer competition within the group, and we managed the company's resources in effective and efficient ways. Ladies and gentlemen, let me now observe guidance for 2016 as a wrap-up. We expect both Telkom and Telkomsel's revenue to grow in line with our slightly better than market rates in by continued effort to increase digital business revenue. We estimate that the industry to grow by around 9% in 2016. Telkom growth will be on the back of strengthened mobile digital business and refined fixed-line businesses. For EBITDA margin, we expect to slightly decline, both for Telkom and Telkomsel, in line with continuing investment in broadband infrastructure both for mobile and fixed-line businesses. While consolidated capital expenditure spending for 2016 is expected at around 22% to 25% of revenue, with increased focus on broadband infrastructure. That's ending my remarks. Thank you.
Andi Setiawan: Thank you, Pak Alex. We will now begin the Q&A session [Operator Instructions] Operator, can we have the first question, please?
Operator: [Operator Instructions] We will now take our first question from Arthur Pineda from Citi.
Arthur Pineda: Several questions for me, please. Firstly, are there any one-offs booked in the fourth quarter -- sorry, can you hear me?
Andi Setiawan: Yes, go ahead.
Arthur Pineda: So I just asked, are there any one-offs booked in the fourth quarter? And why is there notable drop quarter-on-quarter on the fixed voice side? Is that just an accrual issue? The second question I had is with regards to dividends and the balance sheet. What are your thoughts on dividends? And what would be your ideal capital structure?
Alex Sinaga: Okay, thank you. Regarding -- I think it will be answered by Heri Supriadi, CFO of Telkomsel, regarding fourth quarter.
Heri Supriadi: Thank you for the question. Under one-off items in fourth quarter, I can inform you that in Selular, we have extra incentive providing to our employees because we reached very good result. So we have one-off in extra incentive. In addition to that, we also have to settle the USO project. The USO has already finished business. So we go to the arbitrage with government to find a solution for, I think, this agreement on the way we measured the performance of the USO services, which ended in 2014. So based on the decision of our arbitrage, we need to settle this and pay to the government certain compensation. Basically because we don't recognize anymore the revenue, so we do the adjustment on our cost, which is in total, the adjustment is around IDR 283 billion. Meanwhile, in the extra incentive, we have a IDR 190 billion of a, I think, extra incentive for the good performance in 2015. That's the onetime adjustment in fourth quarter.
Arthur Pineda: Was there any...
Heri Sunaryadi: Regarding dividend, I think as you know, historically, our dividend payout ratio's topping 50% under 70%. Last year, it's 60%. But as you know, dividend payout ratio is domain of the -- our majority shareholders. So I think that we should wait what is the majority shareholders' decision regarding the dividend payout ratio. But I think more or less, still the same, even bigger than last year. Thank you.
Arthur Pineda: Sorry. If I can just clarify, the fixed-line revenue [indiscernible].
Heri Sunaryadi: Fixed line.
Arthur Pineda: In the fourth quarter, there seems to be a dip. Any reason behind that?
Alex Sinaga: Sorry, could you share it again, please?
Arthur Pineda: Sorry. Just to clarify, the fixed-line revenue bookings in the fourth quarter, it seems to have dipped quite notably. Is there any reason behind that? Or is that just an accrual issue?
Alex Sinaga: I think on the fixed line on the -- payment for the -- our loss reflexes around IDR 345 billion. That's it. We put it on the other expenses below EBITDA.
Arthur Pineda: So there was a IDR 345 billion booking 4Q?
Heri Supriadi: Yes.
Arthur Pineda: Change on the revenue side, any reason for the big swing?
Alex Sinaga: No, no, there's no big swing there, I think, yes.
Heri Supriadi: There's no one-offs there.
Alex Sinaga: What do you mean, cellular or fixed-line side?
Arthur Pineda: On the fixed-line voice.
Heri Supriadi: Oh, sorry. If you are regarding fixed line, yes, well, fixed line of revenue decreased around 7.0% percent, around 7.1%. And interconnection also, about 5.9% fixed line, on the fixed line. You want the fixed-line revenue, right?
Arthur Pineda: Yes, yes.
Heri Supriadi: Yes, that's why we create the Triple Play.
Alex Sinaga: Okay, so that's why we create Triple Play, to improve our future revenue.
Operator: We'll now take the next question from Colin McCallum from CrÃ©dit Suisse.
Colin McCallum: Maybe I can just follow-up a little bit. Could you set out for us the one-off or exceptional items in the fixed-line business or non-Telkomsel for fourth quarter and tell us what those items were and how much they were in billion rupiah? That's the first question? Secondly, what would be the plans for ERP, our retirement program, for 2016? And can I just confirm whether or not there were any ERP charges in the fourth quarter of 2015 as well within those one-offs?
Alex Sinaga: I think for the fixed line, as I mentioned before in the first questions, that the fixed-line revenue dropped around 7.1% compared to last year.
Colin McCallum: Yes. Sorry, the question is whether there were any one-off items, one-off items either in the revenue side or the fixed-line side -- I'm sorry, on the revenue side or the cost side or the tax side that you can tell us about in the fourth quarter? Any one-off items, yes? And how much were the amounts in question?
Alex Sinaga: So for the revenue side, I think, as already mentioned, from -- dropped 7.1%. For the cost, there is a cost around IDR 345 billion that we put in the other expenses to pay the tower rent because we already terminate our Flexi towers. That's a one-off for the cost.
Colin McCallum: And I think there was a tax in the fourth quarter, is that right?
Alex Sinaga: For the ERP, there's no cost in the ERP of fourth quarter 2015. So 2016, there is ERP program, around IDR 500 billion. But for the fourth quarter 2015, there is no ERP.
Colin McCallum: And was there a tax charge in fourth quarter '15 that you can talk us about -- talk us through?
Operator: We'll now take the next question from Miang Chuen Koh from Goldman Sachs.
Miang Chuen Koh: A few questions from me. One is on the other operating expenses that rose quite significantly quarter-to-quarter in the fourth quarter. I think it was up probably IDR 1.5 trillion. You mentioned that there was obviously the payment for the Flexi tower rents, which is IDR 345 billion. However, what then makes up the remainder? Because there's still a fairly sizable increase quarter-to-quarter even if we take away the Flexi tower rents. And second of all is also, in terms of your interest cost, that also rose quite a bit quarter-to-quarter by -- I think your overall debt level was pretty stable quarter-to-quarter as well. And then lastly, on your cash equivalents on your balance sheet, that's a fairly high number that we now see at the end of the year. Are there any plans to utilize the cash because it seems quite sizable?
Heri Sunaryadi: Okay. For the fourth quarter, I think in the group that is an increase of expenses to the -- I think the first is from the Telkomsel. Telkomsel will explain.
Heri Supriadi: Yes. Okay. From the cellular side, I think the operational and maintenance cost, it grew along with a number of the -- our network is increasing from time to time. And in addition to that, we also have the one-off items that we need to settle that we already explained to you. It is coming from Universal Service Obligation, the service that already ended in 2014, but we need to adjust it. So we book as a cost. And then we also provide allowance for the extra incentives for the employees because the performance that exceeding our expectation. This is good performance. But basically, from the cellular side are where the irregular increase in the costs.
Miang Chuen Koh: Yes, are they all booked under the other expenses? Because -- I just want to be sure because that particular line item wasn't explained clearly during the info memo. There wasn't much explanation. Is it all under the Other OpEx item?
Heri Supriadi: Yes. From cellular, it is coming to the OpEx item.
Miang Chuen Koh: Okay. So both the USO as well as the extra incentives to all [indiscernible]...
Heri Supriadi: Yes, yes because in the -- booked the revenue in 2015. It was already finished, the project. So adjustment could be made into the costs -- expenses.  The operational and maintenance costs.
Miang Chuen Koh: Okay, okay. Sorry, the USO is booked under Other OpEx items?
Alex Sinaga: Exactly.
Heri Supriadi: Exactly.
Miang Chuen Koh: Excellent, okay.
Alex Sinaga: Yes.
Miang Chuen Koh: Okay. And interest costs, if you could explain as well, it will be good, yes.
Heri Supriadi: Excuse me?
Miang Chuen Koh: And also discrete interest cost, I guess, quarter-to-quarter.
Heri Supriadi: Interest? Yes, interest, just because we have a bigger loan compared to last year. We write a loan in -- earlier this year. So basically, as compared to last year, it is bigger.
Miang Chuen Koh: All right. But then the -- I meant only for fourth quarter. The interest cost in fourth quarter was quite a bit larger than third quarter, but the debt level, if you look at it on your balance sheet, was similar. So I'm just wondering what was the variance.
Heri Supriadi: You're talking about consolidated figure or in the cellular figure?
Miang Chuen Koh: Yes. Yes, the consolidated.
Heri Supriadi: Consolidated figure, right. Okay.
Alex Sinaga: Yes.
Heri Supriadi: Hold on, we'll come back to you.
Miang Chuen Koh: Sure.
Heri Sunaryadi: Okay. As we mentioned before that -- as Pak Heri mentioned before, that on 2015, we raised funds through the obligations. And of course, starting -- I think we raised on June or July. And then of course, the first payment of the bond, due on the fourth quarter. So the payment of the interest, due on the fourth quarter in 2015 after we raised bond on late June.
Miang Chuen Koh: Okay. So it was only booked in the fourth quarter as interest expense, yes?
Heri Sunaryadi: Yes.
Heri Supriadi: Yes.
Heri Sunaryadi: Actual 2016 it will be the whole year. It will be this for the whole year.
Miang Chuen Koh: Okay. And my last question was on the cash and equivalents. That seems like a pretty high number, as I look at it. By year-end, are you going to keep cash on the balance sheet? Or is that going to be used in certain other investments?
Heri Supriadi: So, cash. [Indiscernible].
Heri Sunaryadi: Yes. Okay. First of all, we have to maintain our level of cash, the first of the -- for the dividend for this year. And also, we need to keep cash because there is 1 or 2 projects that, let's say, one we have to maintain the cash. That's all, I think. First of all, I think because we have to -- we keep our cash for the -- again, for the dividend.
Operator: We'll now take the next question from Wei-Shi Wu from BNP.
Wei-Shi Wu: I just had a housekeeping question. Could you give us the breakdown of the FY '15 CapEx into fixed line and mobile, please? So Telkomsel versus Telkom?
Alex Sinaga: Is it 2016 or 2015?
Wei-Shi Wu: 2015, please.
Heri Sunaryadi: 2015. Okay. Our CapEx for 2015 is around IDR 26.4 trillion, and 60% was for Telkomsel purposes, mobile, and the rest for the fixed broadband...
Alex Sinaga: [Indiscernible].
Heri Sunaryadi: And also for the cash flow.
Wei-Shi Wu: And would that split apply to your FY '16 guidance as well?
Alex Sinaga: Similar, yes.
Heri Sunaryadi: They're similar, I think, yes. Almost 26% from the revenue.
Operator: We'll now take the next question from Sachin Gupta from Nomura.
Sachin Gupta: I have 3 questions, please. Firstly, just on this tax one-off, the first info memo event that came out, I think you had IDR 750 billion tax, one-off tax for asset revaluation. But in the second info memo, that actually disappeared. I was wondering, can you explain that? And is that still a one-off? That's one. Secondly, in your costs, previously, for a lot of the tower leases, you used to have half as part of operating lease and half as financial lease. I was just wondering, is that still the case? Or every tower is under financial lease now, which could potentially help your margins? That's number two. Number three is on IndiHome. Is it possible to give some sort of a breakup on what's the costs associated with that? Given the ARPUs are quite high, should it be a profitable business? And also, just wondering, I mean, you got 1 million customers who have taken this up, so that's about 10% take-up rate. What do you think the catalysts will be for this one, for the take-up rates to accelerate in 2016? Are you there?
Operator: [Operator Instructions]
Heri Sunaryadi: Hello, can you hear me?
Sachin Gupta: Yes, we can hear you.
Heri Sunaryadi: Hello? Gupta?
Sachin Gupta: Okay.
Heri Sunaryadi: Okay. For the IDR 750 billion, it is a one-off. That's the impact of the asset revaluations really accrued under 2016, not 2015. And the tax office considers our payment as a prepaid tax for 2015 and then we will book under 2016. So for the next question, we will pass to the Telkomsel.
Heri Supriadi: Thank you Pak Heri. Pak Sachin, on the cost of tower, we don't change any accounting policy on the way we book the cost of tower. Basically, colo tower will come to the final lease and then built-to-suit will come to the operating lease. Right now, we have about 24 kilos of tower we lease from outside, from tower companies. And then out of it, about 60% is under operating lease and the balance go through the final lease that's present. So we don't any accounting treatment for this one. Okay?
Sachin Gupta: And the question on IndiHome?
Heri Sunaryadi: Okay. For IndiHome, actually current EBITDA margin is around 30%. In the longer run, we believe that we have more fixed subscriber, I think that EBITDA margin will increase around 35%, under 40%. Our ARPU now, if we isolate for IndiHome only, around IDR 310,000 compared to the blended ARPU of around IDR 110,000. So almost -- the IndiHome now, almost 3x the old ARPU. So we believe if we put more fixed subscriber, it will reduce our cost and we improve our EBITDA margin.
Sachin Gupta: Okay. Can I ask, what do you think will be the catalyst for the take-up rates to improve from here on?
Alex Sinaga: A lot of things.
Heri Sunaryadi: I think a lot of things, yes. I think first of all, we have to build our technicians, yes, because we lack technicians to make more new subscribers in IndiHome. This is our big challenge. Our big improvement is to build our technicians.
Alex Sinaga: And now we have 4,800 technicians.
Heri Sunaryadi: Yes. And now we have around 4,800 technicians. We still need around 10,000 technicians to build to boost our sales in IndiHome.
Operator: We'll take the next question from Navin Killa from Morgan Stanley.
Navin Killa: I had 4 questions. So the first one was on the point you made earlier about tax. So are you implying that in 2016, there will be an extra tax payment in your income statement of IDR 750 billion on top of the normal tax rate? So is that -- I just wanted to confirm that. Secondly, if I look at your quarterly trends, it would appear that the fixed-line voice revenue, which were kind of running at around to IDR 2.2 trillion a quarter, in the fourth quarter, the implied number was IDR 1.3 trillion. So I was just wondering -- obviously, it can't be declining that much. So is there a reclassification there maybe because of the bundling initiative or something? So if you could explain that a little bit. The third question was on the discussions around potential interconnect rates reduction. Any update there? And the last question was just I wanted to get your sense on mobile competition. So if you look at voice and SMS, obviously these segments have done well. But there is some sign of slowdown in the fourth quarter numbers. So I was just wondering if you think the price increases are probably peaking out and the growth in these 2 segments can slow in 2016.
Heri Sunaryadi: Okay. I will answer regarding the tax. You are right, we have to accrue IDR 750 billion because of resolutions. But don't forget the impact on the reso as that will give us more benefit. We already capture a bit with the higher depreciation expenses because of the revaluations. We already capture that in the future tax benefit. We will have around IDR 2 trillion. So almost double, even more, 2.5x we can set impacts because of the resolutions. So at the end of 2016, you're right, we have to pay IDR 750 billion, but we're starting to accumulate our higher depreciation. It means we have a saving tax -- tax saving, I mean. Fixed-line, okay.
Unknown Executive: [Indiscernible]?
Heri Sunaryadi: [Indiscernible]. Fixed line.
Unknown Executive: Yes.
Heri Sunaryadi: So for the fixed line, actually there is a significant drop in the fourth quarter because our wirelines dropped around IDR 400 billion, long distance dropped around -- long distance users dropped around IDR 228 billion. And our prepaid long distance users dropped around IDR 150 billion. The numbers that boost the fixed-line revenue dropped around IDR 7.1 billion -- 7.1%, sorry.
Alex Sinaga: And the ARPU. How do we...
Heri Sunaryadi: Oh. And how do we compare? Actually, we will increasing on the cellular monthly subscriptions around IDR 1.9 billion -- sorry, IDR 1.9 trillion; cellular long distance, plus IDR 658 billion; feature, around IDR 299 billion; and local users, around -- plus around IDR 130 billion. So this is the figure.
Alex Sinaga: The mobile [indiscernible].
Heri Sunaryadi: And for the SMS and mobile.
Alex Sinaga: Okay. Thank you, Heri. Pak Navin, on your third question, on the interconnection rate, is there any update on the progress right now? So far, we are still awaiting a decision from the government. As you may aware, government also already appoint consultants to help them in, I think, determine the new scheme. They're also asking for us to sending the proposal. All of the operator already sending their proposals. Right now, government still receiving all the proposals. Among the alternative is full asymmetric, half asymmetric and then asymmetric but with the intention of the government to have a lower interconnection rate. So far, what we can say, we are still waiting for the government decision. But again, we have -- we can mention to you here, because interconnection only comprise about 6% of our gross revenue and around 1% of net revenue, I think any change in the interconnection is supposed to be quite neutral. In addition, we also know that now the highest growth, coming from the data. So basically, from SMS, already decline in terms of traffic. Voice, still increase but not significantly. We believe with the growth of data, the impact of that will be more neutralized. We believe that. That's the situation of interconnection. And then the -- your second question on us is on the mobile SMS. Yes, mobile SMS last year, we experienced about 14% of traffic decline year-on-year, but we're still able to maintain the revenue growth because we do the price adjustment with the good opportunity that we still have. What we see in the future, the likelihood the traffic of the SMS will continue to decline because that's -- many substitution for the SMS are quite superior right now. And along with that, I think the compensation can -- coming from the data growth anyway because the smartphone growth, the SMS will decline, but overall we can see that the traffic of data increase significantly. And then we expect we can neutralize the impact from SMS decline by having a better revenue in data. And I believe we are still able to maintain the EBITDA, as already explained by Pak Heri, for the outlook for 2016.
Heri Sunaryadi: Yes, a bit -- additional for the fixed line. As you know, the trend is slowing down. But that's why we have a program to migrate the fixed line to the triple play to increase our ARPU. So we hope in the future, if we can migrate fixed line to the triple play to IndiHome, we can increase our ARPU almost 2.5x compared to existing ARPU.
Operator: We'll now take the next question from Choong Chen Foong from CIMB.
Choong Chen Foong: This is Foong from CIMB. Three questions from me. Firstly, can you just give us some color on your Fiber To The Home rollout plan as well as your targets for IndiHome subscribers this year? And how do you see that having an impact on your operating and maintenance costs for FY '16? Secondly, you mentioned earlier on about the asset revaluation and also the tax impact this year. Can I clarify whether that asset revaluation was done at both Telkom and Telkomsel? And how much would your depreciation rise by after that asset revaluation exercise? That's my second question. And then the third question, can I ask about the IPO of Mitratel? Any progress there?
Heri Sunaryadi: Okay. Okay. Basically, we had around -- household, around 20 million households in Indonesia. And then also, we already have 10 million homes passed. Now our challenge is how to make our homes passed become connected so it create our revenue . First of all, our challenge is technicians, again our technicians. Because now, we have our technicians more on the copper minded. We want to transfer to the fiber minded. And it's not an easy job, easy task here to improve our technicians become fiber minded. I think this is the first one. The second one, I think Pak -- any other?
Alex Sinaga: No.
Heri Sunaryadi: I think that's also for the IndiHome. The keyword is how to improve, how to "increase" our technicians in the future. The second one, for the asset revaluations only in Telkom, not including Telkomsel assets. So the size of previous assets is around IDR 25 billion -- IDR 25 trillion, sorry. So with the 3% of tax, around IDR 750 billion. But from the asset revaluation IDR 25 trillion, there's a lot of rooms for us to saving tax. So you can imagine if IDR 25 trillion, we can decide it with the life of our fixed assets, and then we can saving a lot of tax.
Alex Sinaga: Yes.
Heri Sunaryadi: So this is for the tax purpose and not -- I mean -- sorry, I mean, this is for the financial, not the commercial. So for the tax-only purposes. And what is the third question?
Unknown Executive: IPO Mitratel.
Unknown Executive: IPO Mitratel
Heri Sunaryadi: IPO Mitratel. I think we're still -- I mean, we still don't have any plan for Mitratel. We still study. We still -- I mean, we still explore what is the best alternative for our Mitratel. As Pak Alex mentions, now we have the CFU. We run under CFU model in Telkom. So that's why we will evaluate all the -- our portfolio in the future what is the best for our Mitratel. Is it still as it is to serve our CFU or we build -- we will list this, Mitratel, still as in with -- still under study. We cannot mention it now what is the best for the Mitratel. I think -- Alex, do you have anything? I think that's all for the Mitratel.
Choong Chen Foong: Yes, okay. Can I just follow up in terms of -- can I just follow up on the -- I understand the topic, yes, but can I follow up on the question of the IndiHome subscriber? Any targets for this year?  I mean, how -- obviously...
Heri Sunaryadi: For IndiHome subscriber, you mean? Is that correct?
Choong Chen Foong: Yes, I mean, the -- yes.
Heri Sunaryadi: So for this year, around 3 million.
Choong Chen Foong: Okay, 3 million. And your 4,800 trained fiber technicians, you said that you need to train an additional 10,000.
Heri Sunaryadi: No, no. Currently, we have 4,800. We need 10,000 technicians to -- who's -- make up 3 million homes connected.
Alex Sinaga: Including...
Choong Chen Foong: Oh, so you have half of that at the moment, I think?
Heri Sunaryadi: Yes, including the partner of technicians.
Operator: We'll now take our last question from Prem Jearajasingam from Macquarie.
Prem Jearajasingam: Three questions from me. First of all, could you just clarify, are all those 1 million subscribers on IndiHome on fiber? Or are some of them still on ADSL? That's one. Number two, if there are ADSL subs as part of that, does the increased density of fiber in the network then allow you to go forward and potentially up-sell to these ADSL customers if that network quality actually improves? And number three, coming back to these regulatory changes with regards to interconnect rates, et cetera, I believe one of the proposals out there is for a potential cap on off-net call rates relative to on-net call rates. Could you provide some clarity on that? Or what do you think will come from all of this?
Heri Sunaryadi: For the IndiHome subscriber...
Alex Sinaga: [Indiscernible].
Heri Sunaryadi: Around 55%, under 60%, in the fiber based.
Alex Sinaga: Pure fiber.
Heri Sunaryadi: Pure fiber, 100% fiber. And that is still...
Alex Sinaga: Hybrid.
Heri Sunaryadi: Hybrid.
Prem Jearajasingam: So VDSL?
Heri Sunaryadi: Does that answer your questions?
Prem Jearajasingam: Yes. So those are VDSL. So it's a copper last mile with the fiber backbone?
Heri Sunaryadi: Yes. The rest, around 40%, is still fiber and copper.  So for the next questions...
Alex Sinaga: [indiscernible].
Heri Supriadi: Yes, in terms of up-selling to the Telkomsel fiber [indiscernible] interconnect, always [indiscernible] will go the Mitratel.
Heri Sunaryadi: So, of course, in the future, we push to up-sell in the home at 100% fiber.
Heri Supriadi: Yes.
Heri Sunaryadi: Not on the copper anymore.
Prem Jearajasingam: Also, you don't want to provide -- ultimately not provide a copper service?
Heri Sunaryadi: No, no, no. Not anymore.
Prem Jearajasingam: Okay.
Alex Sinaga: It's too expensive, yes.
Heri Sunaryadi: Too expensive for the company.
Prem Jearajasingam: To keep 2 networks, yes.
Alex Sinaga: Okay, the -- I think explanation on the interconnect yes, you're right, there will be kind of a -- I think review also on the comparison between on-net, off-net. Right now, we have about 10 to 18x potential to be reduced to 5 to 6x. However, if we consider all the -- most of the traffic, which is around 90% of our traffic is on-net, I think, again, it is quite -- net of the [indiscernible], quite small.
Operator: That will conclude the question-and-answer session. I would now like to hand the call back over to your hosts for analyzation or closing remarks.
Andi Setiawan: Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed yet. Should you have any further questions, please don't hesitate to contact us directly. Thank you, everyone.
Operator: That does conclude our conference call for today. Thank you for participating. You may all now disconnect.